Lida Wang: Hello, everyone, and thank you for joining our conference call. I will try to make it short and skip some parts already displaying the earnings release. So we have plenty of time for Q&A with our CFO, Mr. Nicolás Mindlin, and our special guest here, Mr. Horacio Turri, our Head of Upstream. Let's start with the quarter's figures and go straight to the adjusted EBITDA, which amounted to $206 million in the Q1, 8% less year-on-year mainly because of Barragán old PPA. PGS' lag tariffs and higher payroll in dollar terms, upset by the addition of PPAs and a solid power dispatch, better gas and spot prices plus Transener tariff increase. However, the EBITDA increased 12% quarter-on-quarter because of the PPA additions, Transener tariff and higher liquids margins in PGS upset by soft gas sales and lower performance sales. It is worth to note that 76% of EBITDA was dollar-link as you can see in the right below, the share between electricity and oil and gas is almost even though power is leading the pipe thanks to our PPS. CapEx in Q1 more than doubled year-on-year mainly because we keep off some new wind farm in PEPE VI plus E&P shale drilling and completion activity in preparation for the winter peak season. Moving on to power generation as seen on Slide four, we posted an EBITDA of $108 million in Q1 down 11% year-on-year but up 26% quarter-on-quarter, mainly explained by Barragán PPA that expired in April last year. And higher labor expenses offset by the addition of wind farms plus the kickoff of PPA in late February of this year. And better spot prices, thanks to a special remuneration for legacy CCGTs. Q1 dispatch rose 11% year-on year, while the National Power Grid 8% growth in response to a hot wave that drove new records of power demand. Barragán's new CCGT contributed most of the increased load factor offset by less Bolivian fuel and forced and scheduled outages at some thermal units restore within the quarter. Availability is essential to collect take or pay capacity payment, especially for PPAs contributing most of the EBITDA. In Q1, we reached 93%, this is below last year's almost 98% availability rates due to the thermal outages mentioned before but still outstanding compared to the grid 69% availability. Moving on to wind power expansions. Regarding PEPE IV, the project is highly advanced in April, we commissioned 18 more, so we have 54 megawatts online out of the 81 that is the total installed capacity. In addition, almost all the remaining wind turbines are assembled, and we estimate to complete the COD by the end of this month. Regarding PEPE VI, we also kick-off the second phase this month, adding 45 megawatts more so the total capacity will be 140 megawatts by investing $265 million approximately. For the first phase of 95 megawatts, we just started with the civil works for the platforms and the foundations. And for the second phase of 45 megawatts, we are procuring 10 additional Vestas wind turbines. We estimate to achieve COD next year, the first phase by Q3 and the second phase by Q4. Keep in mind that debt expansions are sold under B2B PPAs also to finance this PEPE VI, we issue in May our second Green Bond pesos in the local market raising an equivalent to $22 million due in one year. In Slide 6, our E&P business posted a total adjusted EBITDA of $62 million in Q1 10% up year-on-year because of the gas export prices and local oil demand, offset by lower gas export volumes and soft retail demand that drove production curtailments plus this higher costs for payroll and growing activity. However, quarter-on-quarter EBITDA is down 14% driven by second tailwinds and legal expenses. Our total lifting costs almost doubled yearly, it's claimed by payroll and increase activity however it decreased quarter-over-quarter due to lower facility costs from El Mangrullo by block. Efficiency wise the lifting costs per BOE was up 23% year-on-year but very similar [indiscernible] quarter-over-quarter, recorded $7 per BOE. In Q1, our total production averaged almost 58,000 BOE per day, assuming crude oil representing 9% of that still, it reached 24% of the segments revenues, mostly because of the increased local demand offset by the drop in the Brent pricing, getting a realized price of almost $68 per barrel. Our gas production in Cuba was similar yearly, but likely down quarterly averaging almost 9 million cubic meters per day, mainly explained again by the weaker retail detail demand vis-à-vis the seasonal contracted volumes on their Plan Gas, in addition to lesser exports to Chile as permits were limited. Furthermore, though the country experienced a record high power demand and thermoneutral capacity for as much as possible. CAMMESA was not able to procure additional gas because of pipeline bottlenecks. Hence, El Mangrullo output was curtailed during the quarter to 5.7 million cubic meters per day. However, Sierra Chata would with 6 drill in [indiscernible] have been upstanding, dramatically increasing the production. As you can see below the production, the results of Sierra Chata outperformed the benchmark. El Mangrullo also performs very well between the average among peers. We rely on both blocks to ramp up production each reaching all-time high supported by excellent results for now with shale gas wells. The average gas price of the quarter was $4/MBTU. This is 11% year-on-year increase, mainly due to export prices in Q1 sales were skewed to CAMMESA as they were buying gas to up from the high-power demand. Exports were lower but remain under take or pay contracts until June of this year. The petrochemical business posted $7 million EBITDA in Q1 primarily contributed by styrene and polystyrene sales plus lower costs of propane, offset by a fall in SBR volume and higher labor costs. However, quarter-over-quarter shrunk to by more than half driven by a reduced supply of raw gas line and export margins. Sales volume was up 13% year-on-year mainly because last year some reforming products were dispatched as [indiscernible], volume sold. In Q1 29% of the total sales were exported. So moving to the cash flow in Q1, we call it a free cash flow outflow of $29 million. This is mainly due to the expansionary CapEx that we're doing in power and gas. Higher that service driven by peso debt, through principle gets diluted by devaluation, plus worsening of payment collections from CAMMESA that it went from 70 days to 100 days full cycle collection. That's represents roughly $80 million of working capital. In addition, we raised $97 million net from the local market. In summary, we generated $68 million of net cash flow in the quarter achieving 768 million cash in the end of the period. So moving to the Slide 11 We show our consolidated financial position in Greenwind, our ownerships -- the affiliates have ownership. But just let's focus on the restricted group that reflects the Pampa [indiscernible]. We posted our gross debt of 1.73 million. This is similar to the last quarter, net debt and leverage ratio decrease fence to our solid cash flow position generation, thanks to our solid cash flow position. Generation we call a 900 -- a little bit above $900 million and 1.2x leverage, the average life also reduced to 3.4 years. Taking advantage of the domestic liquidity we kept diversifying the currency and source as a result 81% of the dollar denominated offshore bearing an interest rate of 8.5%. Peso debt bears an interest rate below trailing CPI, so on onshore debt in dollars is zero. Also, as mentioned before, we recently raised a second green bond for 5 billion pesos that's $22 million roughly and issued $56 million dollar bonds in the local market, this is [indiscernible] by percent. A few days ago, we announced the retention of the remaining 2023 bonds for around $93 million. So, until May, 2027 Pampa does not face any relevant debt maturities. So, this concludes our presentation. Now, I will turn to Margarita, so she will poll for questions. Thank you very much.
A - Margarita Chun: Thank you, Lida. Now, the floor is open for questions. [Instructions] Our first question our first question is from Maria Moyano from the Company AdCap. She would like to know regarding the company situation to access to the official FX for principle of debt payment and import of equipments, what are the company tools to have access to the official FX of the central bank.
Nicolás Mindlin: So, as for now, we are not having any issues to access the U.S. dollar for imports of capital goods or raw materials, but we have seen some delays in the case of services, but nothing significant for the maturities and interest payments, we have not had any problem so far. So, if the central bank stop selling U.S. dollars, we will need to finance the U.S. dollar. But I think given the current conditions it will be very expensive, right? So if that happens, I think we will reassess our analysis strategy regarding CapEx and investment but we don't see this happen in the near future.
Margarita Chun: Thank you, Nico. The next question is from Paula La Greca from TPCG. She has three questions. And the first one is how are collections from the plan gas and the Néstor Kirchner pipeline doing has there been any delay?
Nicolás Mindlin: So, the situation with CAMMESA payments, it's also regarding [indiscernible] subsidy how deteriorated, alone in the last few months and it has reached -- really equal to the worst that we have seen. That is approximately 100 days. So as of today the debt amounts to 40,000 million peso approximately in the case of CAMMESA 2000 million pesos in the [indiscernible] subsidy. This delta grew interest per Banco Nación active interest rate that is around [indiscernible] but to mitigate this issue, we issued everything in pesos in the last few months taking advantage also of the liquid in local market and this acts like a hedge against a discrete devaluation. So, we are hedging with this instruments and also we can hedge this in the future dollar market.
Margarita Chun: Thank you, Nico. The second question of Paula is, is there any plant that could enter into the new PPA contract under the resolution 59, this is the differential remuneration for combined cycle in the spot market.
Lida Wang: So yes, besides Loma De La Lata legacy CCGT and Genelba legacy CCGT, we managed to include in Ensenada's gas turbines, they are part of our CCGT. But they are -- the gas turbines are on their legacy, though, they're very important. So we merged to include them as they are CCGT. So all-in-all, we are calculated that the total impact of resolution 59 will be around close to $19 million in 2023. Though, however, that it's a lot of that it's upset by the devaluation curve if there's no any further inflation adjustments to the legacy pricing.
Margarita Chun: Thank you, Lida. The last question of Paula is regarding E&P business. Do you have any sensitivity analysis of how much an increase of 1% in inflation impact on lifting cost? She has one more in the E&P, but let's focus on the first one.
Horacio Turri: Okay. Well, this question needs further analysis. Since now, we have most of our costs based in U.S. dollar link. And what we are seeing is particularly significant increase in wages and dollar inflation is starting to pick up. But all-in-all, we understand that probably, we will have 1/3rd of the inflation being transferred to the lifting costs not more than that.
Margarita Chun: Thank you, Horacio. And Paula's last question regarding E&P business is how much more expensive or cheaper is to produce natural gas in shale fields than in tight customer in tight gas fields.
Horacio Turri: There is a trade off there between CapEx and OpEx. In terms of CapEx, obviously the shale wells are more expensive than tight wells. But from an OpEx standpoint, as you are producing in high pressure rather than medium and low pressure, you don't need any compression. And that significantly reduces the lifting costs in the shale fields vis-à-vis the tight.
Margarita Chun: Thank you, Horacio. So the next question is from Alejandro Demichelis from NAU Securities. He has two questions, but the first one is very related to the E&P business. How do you see inflation impacting on the drilling and completion especially on the shale wells and the OpEx? I think it is covered but if you want to add something more?
Horacio Turri: Okay. I think he's particularly asking about drilling and completion. And in that sense, we've seen approximately 10% to 15% increase in D&C costs, always related to dollar link, when you compare it to last year.
Margarita Chun: Thank you, Horacio. The second question of Alejandro is regarding power generation business. What is the appetite of the company to join the potential tender of thermal power plants that they are seeing in the media right now.
Nicolás Mindlin: So, of course, we will be starting this project to see if we can participate at competitive prices. Since the beginning of Pampa, we have participated in every round to our power generation. But our main focus this year is in our very aggressive investment plan to Pampa gas production and to roll renewables capacity.
Margarita Chun: Thank you, Nico. The next question is from Bruno Montanari from Morgan Stanley. He has three questions. The first one is regarding the E&P business once more. Can you comment on gas demand in the second quarter of the year? You mentioned on the release that retail demand was soft in Q1. And there were also bottlenecks with pipelines. So we will like to get a sense of how much volume are performing right now. Do you see more space for Pampa to increase export to Chile on top of the additional 0.9 million cubic meters per day recently awarded?
Horacio Turri: All right. Well, demand is picking up in the past week. We are starting to see some low temperatures. And we foresee that probably we will go to the 9 million cubic meters per day that was mentioned before, to around 11 million cubic meters per day, during next week, and standardizing around 12 million cubic meters, which is what we had forecasted for this time of the year. We will keep on increasing our production, reaching 15.6 with the commissioning of the Néstor Kirchner pipeline. So this is what we can say about our projected production for the coming months. Regarding exports to Chile, we have already been awarded additional 900,000 cubic meters a day, May and June and an additional almost 900 more million cubic meters per day, July September. I don't foresee any additional exports being granted to Pampa in that period rather than that. So we will be exporting around 2.2 millions, May, June and we will go to 900,000 July, September.
Margarita Chun: Thank you, Horacio. The second question of Bruno is regarding CapEx. How much of the 2023 and 2024 projects are already fully constructed in terms of equipment and also prices. And do you see any challenges with securing the necessary equipment? Or are you seeing any inflationary pressure?
Horacio Turri: Okay. What we committed for 2023, which basically is this, the additional 4.8 million for the commissioning of the Néstor Kirchner pipeline, all of it drilled and already cemented and cased, we only missing the completion of approximately 60% of the wells, which we think and are confident in delivering by the commissioning of the pipeline. So that's I think that answers the first topic of the question. Second was if we have to secure equipment, we don't think that's going to be necessary until the beginning of next year. We already have contracts with drilling and completion companies that secure our campaign until September of this year, and we will restart our negotiations for long-term ventures with particularly with completion companies to secure equipment for 24 and 25.
Margarita Chun: Thank you, Horacio. And the last question of Bruno is regarding macro side. It sounds like Argentina could be getting closer to material official currency devaluation. Can you help us understand how Pampa is preparing itself for the day after the potential devaluation?
Nicolás Mindlin: So, firstly, around 80% of our income is U.S. dollar link. And the rest is adjusted by inflation that is also affected by evaluation. I think that the main negative impact for us would be regarding the outstanding debt of CAMMESA that if it's already pending, such as the also via an interest rates in pesos. But will be affected negatively if we have a discrete devaluation. On the other hand, as I mentioned before, we have a big amount of debt in pesos that we issue in the last month taking advantage of the liquidity in the local markets and that there will also be the loaded in case of a devaluation. So as our relative pesos is higher than our grade, I think that the net impacts will be positive for us. We are also hedging our grade with CAMMESA in the U.S. dollar future market. And also an important part of our liquidity is in dollar link corporate bonds. So I think we are prepared for that scenario.
Margarita Chun: Thank you, Nico. The next question is from Matías Castagnino from BCP. The first question is regarding spot energy combined cycle differential remuneration. This is resolution 59. In which currency is being collected, if it's in pesos, what is the increase?
Lida Wang: Hi, Matías. So basically in general, last year, the Secretary of Energy already scheduled increases and they schedule one of 25% in general, for all the legacy units in pesos. There's another one upcoming in August. And that's it, it's accumulated in 2023 of 60%. Of course, the valuation is higher than that. So we expect further increases to match it up. Beyond that CCGTs, the legacy scheme, they are granted a sort of a partial dollar pricing. It's a way to kind of hedge their costs in dollars. Dollar wise right now, they are a little bit ahead, but it's not that significant. So, yes, for example, in a discrete evaluation, they will be better because partially they are dollars. So, that's this remuneration, partial remuneration dollars it starts in March of this year, started already in March of this year.
Margarita Chun: Thank you, Lida. Matías second question is also regarding power generation. If in dollar terms, the legacy energy got increase and the PPAs are dollar link, why the average price in dollar per megawatt term decreased?
Lida Wang: Well, unfortunately, this quarter we experienced some outages in the thermal units, with the commissioning process, it's in Ingeniero and so on. So availability is very important. So, it's 93% in this quarter, but it's already sold in the Q2, it's back to the -- close to 100% that we usually do. But the lower footprint on availability affected the take or pay side of the remuneration that is basically contributed to EBITDA. And then also for those contracts that they are not under take or pay that is, [indiscernible], especially [Mater] [ph], the wind forms did not perform very well in the wind side capacity factors as not as we expected. So basically, that's the two reasons behind why the average pricing was weaker this quarter.
Margarita Chun: Thank you, Lida. Matías, third question is regarding gas production. Considering the quarter-over-quarter decreasing gas production. The release refers to commercial issues that seem to affect the future expansion of Vaca Muerta without that, any additional surplus production could be destined to export if local demand is satisfied.
Horacio Turri: Okay. The nature of consumption in Argentina is highly seasonal. What we saw during the past summer was reduction of the retail demand and an increase in CAMMESAs demand particularly. Now problem is that CAMMESA did not retain enough firm transportation. So it was not able to acquire all the natural gas that it needed. And this finally impacted in the need to burn liquid fuels during the summer season. So, the issue was that our reduction in sales was linked to the unavailability of transportation from CAMMESA. Now for the future, we don't foresee that problem happening. Partially at least with the commissioning of the Néstor Kirchner pipeline and the future expansions of the transportation system. Now regarding the question of exports to Chile. Now, we are exporting all of the transportation capacity that is available to Chile. What we'll see probably in the coming future is a possibility of exporting additional volumes to Chile through another pipelines that connects Argentina and Chile, in the central region and also in the north. But with the restriction of first having to redirect the gas flows from the north to the south, pipeline and turning it from Vaca Muerta into the north of Argentina and further into north of Chile.
Margarita Chun: Thank you, Horacio. The next question is regarding petrochemical business. This is the fourth question of Matías from BCP. Considering the decrease in the sales funnel retail petchem business compare quarter-on-quarter, do you see any pressure on the prices or margins in this segment?
Nicolás Mindlin: So, there are different factors affecting EBITDA this year in comparison to last year. First of all, during the first quarter, we have processed less virgin naphtha in the reform. The situation has already normalized for the second quarter. Also international spreads between virgin naphtha that we process [indiscernible] bases that we sell. And also between benzene and styrene have worsened this quarter. And our fixed costs in dollars have increased also because of the impact of inflation against the valuation. On the other hand, local premiums in prices in styrene and polystyrene have risen here in current local macro conditions.
Margarita Chun: Thank you, Nico. Matías, last question is regarding the debt market. Why are you executing that in pesos at variable rate and not dollar link? And yes, that is the question.
Nicolás Mindlin: So, first of all, dollar rate is lower than inflation. Secondly, we are also issuing debt in pesos from local banks at fixed interest rates that are below inflation. And third, we also issue dollar almost $100 million this year. And in the case of further valuation is much better to have them in pesos than dollar link. So if we take into account the current situation, we prefer now to come more debt in pesos even at a floating rate that is below inflation. And that is negative in real terms than in dollar link. [Technical Difficult]
Horacio Turri: I think it was already covered.
Margarita Chun: Yes, thank you. So, it was already covered. And the second question is, could you please comment on the media report that mentioned that the government would not expand -- will not extend expiring hydro concessions?
Lida Wang: Well, not much to comment on that. Basically, we've been asked for information. We have two hydro power plants that are due next year, June and October, Mendoza hydro power plant and [indiscernible], it matures in late 2029, I think. So basically, they're far away from now. But we've been asked for information, not more than that. We provisioned some expecting what happens with the concession agreement says that if it ends we part our ways. We don't get anything and we don't have to pay anything for the concession.
Margarita Chun: Thank you, Lida. The next question comes from Andrés Cardona once more for the E&P business. What have you learned so far from shale wells in terms of drilling cost per well completion, lifting potential EUR per well?
Horacio Turri: Well, so far, the experience with shale wells for Pampa was very successful, particularly in terms of productivity, we were able of finding sweet spots, both in Mangrullo and Sierra Chata. And we were surprised with the performance of the wells. As Lida showed before, during the presentation, we had one of our flagship wells in Sierra Chata with an output of more than 1 million cubic meters per day, which ranks top three in the Neuquén Basin. So from productivity standpoint, we feel pretty confident in going or proceeding with the development of Vaca Muerta. In terms of potentially you are, it depends on where you're looking at Mangrullo and Sierra Chata, but that would range from 20 to 27 Bcf per well. So, also looks like very promising. Regarding cost per well and drilling, we are still in very early stages. We are running the pilot programs right now. So probably we will see a decrease -- significant decrease in our investment per well in the development phase.
Margarita Chun: Thank you, Horacio. The next question comes from Daniel Guardiola. This is regarding the Néstor Kirchner pipeline. Can you comment on the progress of the Néstor Kirchner pipeline and what is the EBITDA generation expected for Q2 and Q3? Daniel Guardiola is from BTG.
Horacio Turri: Okay. Néstor Kirchner pipeline is doing pretty well. We probably see the pipeline being commissioned by the end of June, 1 days of July. So it will be on schedule. We are ready to deliver the gas that we committed for the Plan Gas for this for this new demand, which is approximately 4.8 million cubic meters per day of additional gas and well that will obviously have a significant impact in the EBITDA generation for the second and third quarter of the of 2023.
Margarita Chun: Thank you, Horacio. Alejandro Demichelis is also asked regarding the Néstor Kirchner pipeline that we already cover. Daniel Guardiola has another question, but this one regarding power generation. Is there any other PPAs expiring this year or next? What is the expected effect in terms of EBITDA generation? So in this question, we don't have PPAs expiring in the next few years. The next expiration is in 2026. And of course, most of the EBITDA is dollar link because PPAs are in dollars, and they generate roughly more than 75% of the generation -- of the power generation business.
Lida Wang: So the next is just one PPA expiring in 2026 is a small one, but the big chunk is our 305 megawatts. It's in 2027 and the next one's is in 2035, 38 and 40. So we have plenty of time.
Margarita Chun: Thank you, Lida. And the next question comes from Anne Milne from Bank of America. She has a question regarding new tariff schedule for legacy power plants, which plants are benefiting and how much additional revenues or cash flow will this generate on an annual basis is there any condition or additional CapEx expenditure required?
Lida Wang: So, I am basically again the benefited and this is intended to raise as I mentioned before the stability of the system is declining actually is, we are one of the all-time lows in the few years. We are right now at 69%. So, the government wants to keep it up, ramp up the limited rates especially. So there are no excuses for maintenances, they are partially converting in dollars for the CCGTs. We are including here Loma De La Lata, [indiscernible], legacy plants and [indiscernible]. This implies around $90 million of additional revenues for Pampa though, however, if there's a third level -- with the devaluation curve that we're experiencing, and assuming that there's no further increases general for legacy prices, matching the inflation that a $90 million, it eludes to merely $5 million for the year. So basically, it's very important that legacy prices keep it up with inflation.
Margarita Chun: Thank you, Lida. The next questions comes from [indiscernible] from autonomy, in during which month or weeks, during excuse me, during which months or weeks would you reach your gas production target of 15.6 or close to 16 million cubic meters per day?
Horacio Turri: Okay. As we mentioned before, this will happen with the commissioning of the pipeline, and we foresee that happening by the end of June, or first week of July.
Margarita Chun: Thank you, Horacio. The next question come from [indiscernible]. What is the average, this is the E&P business question. What is the average IP initial production rate for wells in shale gas? What is the average lateral length? What is the breakeven price to support lifting CapEx and provide a good IRR?
Horacio Turri: Okay. Well, this depends very much on which field we are talking about. If we look at Mangrullo, probably you're looking at initial IPs or around half a million cubic meters. If you go to Sierra Chata, that will probably raise up to 700,000, 800,000 cubic meters per day. The lateral length of our Vaca Muerta wells is 2500 meters and when drilling and completing wells to only have that lateral length we haven't explore any longer lateral [indiscernible]. Regarding the price I would say that we've been beating at prices that are reasonable for us to have a reasonable rate of return.
Margarita Chun: Thank you, Horacio. Please wait while we poll for more questions. So thank you for waiting. This concludes the question-and-answer section. So we will turn this concludes the question-and-answer section. So we'll turn to Lida for final remarks.
Lida Wang: Okay. Thank you for all joining us in this quarter. Unfortunately, our CEO wasn't here but our special guest, our Head of E&P here, I hope all the questions that you have been answered. If anything, it's outstanding, just contact us Margarita and I and the other IR team are freely available for you. Thank you. Have a good day. Have a good week and see you next time.